Operator: Good day ladies and gentlemen and welcome to the PAR Technology Corporation’s 2014 Second Quarter Financial Results Conference Call. My name is Denise and I will be the operator for today. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions). As a reminder this conference is being recorded for replay purposes. I would now turn the conference over to Mr. Chris Byrnes, Vice President for Business and Financial Relations. Please proceed.
Christopher Byrnes: Thank you Denise and good morning everyone. I’d like to welcome everyone to the call for PAR’s second quarter 2014 financial results review. At this time I’d like to take this opportunity if I can to take care of certain issues in regards to the call today. Participants on the call should be aware that we are recording the call this morning and it will available for playback. Also we are broadcasting the conference call via the World Wide Web as well so, please be advised, if you ask a question that will be included in both our live conference and any future use of the recording. Joining me on the call today is PAR’s CEO and President, Ron Casciano; and Steven Malone, the company’s Chief Accounting Officer. At this time I’d like to tell you that this conference call includes forward-looking statements that reflect management’s expectation based on currently available data. However actual results are subject to future events and uncertainties and the information on this call related to projections or other forward-looking statements may be relied upon in subject to the Safe Harbor Statement included in our earnings release this morning and in our annual and quarterly filings with the SEC. I’d now like to turn the call over to Ron Casciano for the formal remarks portion of our call, which will be followed by general Q&A. Ron?
Ronald Casciano: Thanks Chris and good morning everyone and thank you for joining us today. During this call I will review our results for the quarter; Steven Malone, will give the financial detail and then we will open the call for Q&A. Now to address our results for the second quarter. This morning we announced that the company reported second quarter revenues of $57.4 million and on a non-GAAP basis a net loss of $336,000 and a loss per share of $0.02. This compares to the prior year second quarter non-GAAP results from continuing operations of $59.5 million in revenue and net earnings of $302,000, or $0.02 per diluted share. In our hospitality business, after a sluggish first quarter I’m encouraged to report that revenues were up over Q2 of 2013 and rose 15% compared to the first quarter of this year. First, let me speak about our restaurant business within our hospitality segment. As I have previously stated, a key element of our strategy is to diversify our go-to-market activities toward a broader range of prospective customers. During the quarter we experienced positive signs this strategy is gaining momentum. As our worldwide dealer network revenue grew 48% over last year. Our dealers were successful in selling our products not only to restaurants but other entertainment venues including casinos and cinemas. SureCheck our Intelligent Checklist Software Solution also supports our diversification strategy and I am pleased to report we continue to add new pilot appointment with several major retailers, grocery chains and restaurants. In addition, we continue to realize follow-on business with existing customers. Within our Tier-1 customer worldwide Yum! Brands business grew 7% over the same quarter last year and the company’s domestic McDonald’s revenue increased as well. These increases were partially offset by a decline in revenue from McDonald’s China as we fulfilled a large requirement for their stores in 2013. In addition, this quarter we began fulfilling orders for the new PAR Tablet. PAR Tablet 8 was specifically designed to offer the optimal combination of balance of features, the right size, weight, performance, durability and battery life to meet the mobility needs of our enterprise customers. In the coming quarters we will further enable a variety of mobile payment technologies. Now looking at the hotel side of our hospitality segment; this part of our business continuous to receive the largest allocation of our new product investments. Although the adoption rate for ATRIO has been slower than anticipated, we are continuing building our base and successfully deployed the system to a number of customers this quarter. This past June in HITEC the hotel industry’s largest technology showcase ATRIO again received significant interest from the attendees due to its technology innovation product functionality and true cloud design. We also recently announced two new exciting features to ATRIO. The first, ATRIO distribution services powered by Sceptre Hospitality Resources’ Central Reservation System; WindsurferCRS. The second, secure payment solutions with our key partners Shift4 and Global Payments. Our secure payment solutions provide the more secure payment processing technology to the hospitality industry. In the quarter we also signed new customers for our feature rich assault care and host products. These new customers include properties in the U.S., Spain, Malaysia, India and Panama. Now let’s look at our government segment. In the quarter we reported revenues of $19.5 million, a decline of 11% from Q2 last year. This decline in revenue was expected and is primarily attributed to the timing of requirements and task order associated with our Eagle Intel-X ISR Integration Contract and due to the completion of additional technical service contracts. We continue to monitor the impact of federal budget cuts on this segment but are confident this is simply a timing issues as there continues to be consistent funding focused upon ISR initiatives. Even with the uncertainty and timing of contract in activities we succeeded this quarter in securing a $7.9 million U.S. Navy Contract for Technical Service Support in LaMoure, North Dakota and also signed a multi-million task order with the U.S. Air force to support development of the Android Tactical Assault Care. Also during the quarter we have invested in additional business development resources to further expand our opportunity pipeline within the Federal Defense Agency landscape. Now I’d like to turn the call over to Steven Malone, our Chief Accounting Officer for further details of our financial performance. Steve?
Steven Malone: Thanks Ron and good morning everyone. Product revenue in the quarter was $23 million, an increase of 3% compared to the second quarter of 2013. This increase was primarily driven by an increase in sales made to our worldwide dealer network which increase 48% on a year-over-year basis. In addition to this growth, sales of the company’s hospitality software products increased 39% compared to 2013. These increases were partially offset by a decrease in revenue from McDonald’s International, resulting from the completion of larger roll-out in 2013. Service revenue declined 3% to $14.9 million, compared to $15.3 million during the second quarter of 2013. The decrease is mostly the result of a decline in field service revenue as certain customers transition to alternative service support delivery models. The company’s recurring revenue base remains strong with 66% of service revenue from the quarter being recurring in each year. Contract revenue was $19.5 million, down from the $21.9 million from Q2 of 2013. The decrease is attributable to a reduction in revenue associated with certain fixed price technical services contracts that were completed earlier this year. Offsetting this decrease was an increase in revenue from new fixed price contracts supporting the operation of U.S. Military Communication facilities which were awarded in 2014. Our contract backlog as of June 30th was $106 million, an increase of 18% from our backlog at the end of the first quarter of 2014. Product margin for the quarter was 31.1% versus 33.3% in the second quarter of 2013. This decrease is mostly due to an unfavorable product mix. Service margin for the quarter was 27.4%, a decrease from the 28.8% reported last year. The decrease is driven by the reduction in field service revenue previously mentioned. Contract margin was 5.3%, a decrease from the 7.4% reported during the second quarter of 2013 but is within our historical range of 5% to 6%. During fiscal year 2013, the company realized significant contract margins on certain fixed price technical service contracts that were modified during the year. Non-GAAP SGN&A was $9.2 million, a slight decrease from the $9.4 million recorded last year. R&D expenses was $3.8 million, up slightly from the $3.7 recorded during Q2 of 2013. R&D expense is primarily associated with our hospitality product lines as we continue to invest in the feature expansion of our innovative hardware and software product offerings. Now for a few balance sheet and cash flow updates. At the end of the June, working capital was approximately $30.7 million with the current ratio of almost 2:1. Total debt was $1 million. Day sales outstanding for our hospitality and government businesses were 58 days and 57 days respectively. During the second quarter, the company generated $3.9 million of operating cash flow. Depreciation and amortization were $830,000, capital expenditures and capitalized software were $580,000 and $562,000 respectively. This concludes my formal remarks. I’d like to turn it back to Ron for his closing comments.
Ronald Casciano: Thanks Steve. So in summary our continued investment in next generation products for our hospitality business is impacting our bottom line results. However, we remain encouraged in our new cloud products ATRIO and SureCheck and we continue to drive interest from perspective in existing customers. We are regaining our positive momentum in our restaurant business with the release of PAR Tablet 8 and by the accelerated growth in our distribution channel business. Our government segment exceeded our internal plan and we are confident in our go-forward strategy with this segment. Our financial condition remains strong and we expect to utilize this strength to enhance our business opportunities within both segments. We expect that our company will return to profitability in the second-half of the year. Finally, in closing I am pleased to report that we have formally seated three new Independent Directors to our Board; John Barsanti, Paul Eurek and Todd Tyler all bring professional experience, technology insight and subject matter expertise to our company. I want to personally welcome them to PAR’s Board and I look forward to working with them to build shareholders value. At PAR we are committed to fostering long-term growth and we believe we have the resources and leadership in place to achieve this goal. That concludes my formal remarks and I would now like to open the call for questions. Thanks.
Operator: (Operator Instructions). Our first question comes from Sam Bergman with Bayberry Asset Management. Please proceed.
Samuel Bergman – Bayberry Asset Management: Good morning, Ron, Steve and Chris. How are you?
Ronald Casciano: Good morning Sam.
Samuel Bergman – Bayberry Asset Management: A couple of questions regarding ATRIO and SureCheck, with the opportunities that you have and added beta sites or field trails going on right now, when do you think we will start seeing some announcements on these and then revenue on these?
Ronald Casciano: Well certainly, we have ongoing revenue today with both products Sam. We fully expect to have some new customer installations for both products in the second half of the year and hopefully we will have an announcement as well.
Samuel Bergman – Bayberry Asset Management: Do you – is there any way you can tell us how large these customers are in both areas?
Ronald Casciano: I am not going to speculate on that. We have a pretty big pipeline of all different sized opportunities Sam and certainly we don’t announce every little one that we have but if we get one of size we’ll certainly put it on the list for an announcement. And like I said there are different size opportunities that we are working with for both products. So we are hopeful that we will have something more to talk about, something – greater momentum every quarter as we proceed there.
Samuel Bergman – Bayberry Asset Management: All right. When you look at the stocks trading under book value and there is still enough cash on the balance sheet for the R&D that you are doing for ATRIO and SureCheck or mostly I should say for ATRIO, why has it – and I know the board you had [inaudible] board and you just hired some people. Why has the company undertaken a buyback at this point? Trading so much under book value?
Ronald Casciano: Yeah. Sam certainly that’s been a subject of discussion in the past and I fully expect it will be with the new Board as they came up to speed. They are going through the usual orientation now and certainly that will be discussed going forward. I am not going to make any predictions. As you know in the past we have decided not to do that. So that’s all I think I will comment at this point on that. Thanks.
Operator: (Operator Instruction). We have no further questions. I would now turn the call back over to management for closing remarks. Please proceed.
Ronald Casciano: Well that concludes our call today and thank you very much for participating. Have a good day. Bye-bye.